Operator: Good day, and welcome to the Sensus Healthcare Fourth Quarter 2024 Financial Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Tirth Patel, Alliance Advisors, IR. Please go ahead.
Tirth Patel : Good afternoon. This is Tirth Patel with Alliance Advisors IR. Thank you all for joining today's call to discuss Sensus Healthcare's Fourth Quarter and Full Year 2024 Financial Results. Joining me from Sensus are Joe Sardano, Chairman and CEO, Michael Sardano, President and General Counsel, and Javier Rampolla, Chief Financial Officer. As a reminder some of the matters that will be discussed during today's call contain forward looking statements within the meaning of Federal Securities Laws. All statements other than historical facts that address activity, census, healthcare, assumes, plans, expects, beliefs, intends or anticipate and other similar expressions will, should or may occur in the future are forward looking statements. The forward looking statements are management's beliefs based upon currently available information as of the date of this conference call February 5, 2025 Sensus Healthcare undertakes no obligation to revise or update any forward looking statements except as required by law. All forward looking statements are subject to risks and uncertainties, as described in the company's forms, 10-K 10-Q and other SEC filings. During today's call, references will be made to certain non-GAAP financial measures. Sensus believes these measures provide useful information for investors, yet they should not be considered as a substitute for GAAP, nor should they be viewed as a substitute for operating results determined in accordance with GAAP. A reconciliation of non-GAAP to GAAP results is included in today's financial results press release. With that, I'd like to turn the call over to Joe Sardano. Joe?
Joe Sardano: Thank you, Terry. Good afternoon everyone, and thank you for joining us today. Reflecting on our performance over the past year, Sensus Healthcare experienced strong business momentum as we continue to expand our customer base, refine our product offering and reinforce our company's position as a leader in superficial radiotherapy. Top line results demonstrate the market's growing acceptance of our SRT-100 platforms, especially in dermatology practices that value non-surgical treatment options for non-melanoma, skin cancer and keloids. I'd like to start by highlighting our major accomplishments. We built upon many of the themes I've discussed throughout the year, specifically strong execution of our sales strategy, expansion of our fair deal agreement program, and ongoing enhancements to our research and development pipeline. The fair deal agreement, or FDA initiated initiative, has gained significant traction over the past year and is evolving into an important strategic growth driver, particularly for large dermatology groups and private equity backed practices looking for both clinical value and financial flexibility. During our sales calls, we emphasize the importance of delivering solutions that align with customer goals, and we continue to see heightened enthusiasm for agreements with attractive economics. Overall, our focus strategy and ongoing innovations are driving the results we're reporting today. I'm proud of our team's execution, and look forward to capitalizing on new opportunities in 2025. From a financial perspective, I'm pleased to report that our fourth quarter performance kept an outstanding year. We recorded revenue of 13.1 million for the quarter and 41.8 million for the year, which is up 71% compared to 2023. These results reflect higher unit sales of our flagship, SRT-100 systems driven by expanding clinical awareness and broadening reimbursement for superficial radiation therapy. We delivered a quarterly record of 39 systems in the fourth quarter and 115 for the full year, increases of 18% and 74% respectively. It's important to note that within these shipments, five were to international customers in the quarter and 10 were shipped internationally during the year, advancing the approach we outlined in our Q2 call, we continue to deepen relationships with established distributors and prospective partners across multiple geographies where there remain significant unmet need for non-invasive treatment options. Profitability remains central to our strategy, and I'm proud to share that we achieved our fifth consecutive quarter of profitability with net income of 1.4 million for the quarter. We also ended the year with 22.1 million in cash and cash equivalents, with no debt, reflecting our ability to maintain a strong capital position. We believe this level of liquidity provides the flexibility to support ongoing R&D fund, potential partnership opportunities, and further invest in sales and marketing initiatives that will drive the company's next phase of growth. I would like now to turn the call over to Michael to discuss the growth trajectory for our FDA program and other upcoming strategic goals. Michael?
Michael Sardano: Thanks, Joe. A significant driver of our expected growth is the Fair Deal Agreement Program. The flexibility of these agreements accommodates a wide range of potential customers, yet interest among corporate accounts has been particularly strong, surpassing our expectations and reflecting growing acceptance for a program that we launched almost exactly one year ago. These agreements typically include a structured, tiered revenue sharing component with no capital outlay by the customer. For Sensus they create recurring revenue streams once SRT is incorporated into the practice workflow, we expect these agreements to begin contributing meaningfully to our top line in the second half of 2025. The fair deal agreement at its core allows providers to acquire SRT systems through an operating lease like structure. This alleviates capital purchase barriers, making it easier for practices to implement cutting edge technology and enhance their competitive position, all without significant upfront cash outlays or the financial impact of entering into a lease. This program offers our customers flexibility and aligns our success with theirs. This shared revenue option also differentiates us from typical equipment financing models in the industry, and positions our treatment solutions as more accessible and scalable, which we're seeing in terms of growing demand. Under these programs it's less about selling a unit and more about forming a lasting partnership, that deeper relationship opens the door to greater service and support interactions, which is not only beneficial for patient outcomes, but also fosters loyalty and long term growth. At the recent medical conferences, including the 2025 Winter Clinical Dermatology Conference in January, we showcased our SRT systems to a broad audience of dermatologists and healthcare decision makers. We plan to continue building on this momentum at the 2025 American Academy of Dermatology Annual Meeting in March, further elevating our brand and introducing our non-invasive treatment solutions to new clinicians and potential partners. I mentioned a moment ago that we have surpassed our expectations for the number of fair deal agreements signed in 2024 yet with our focus on corporate accounts, which may operate dozens or even hundreds of clinics, the number of fair deal agreements signed is not a key metric for future revenues. What matters is the number of clinics where an SRT is installed and most importantly, the number of patients who are being treated with our SRT technology. We support our largest customers to prioritize the rollout of SRTs within their network by utilizing the extensive data analytics gathered from across our install base, our vast resources regarding non melanoma, skin cancer and our unmatched experience. Through this partnership, we help ensure customer success with their early SRT experiences. We also aim to ensure that resources are allocated efficiently, and that success is evident for the dermatology practice, the corporate entity, and for Sensus. SRT is a versatile technology, and we achieved a milestone this past quarter with the sale of an SRT system to a veterinary clinic here in South Florida. This sale demonstrates the long term potential for SRT and new specialized verticals such as animal health. It's still early in our exploration of the veterinary market, but we see a growing interest from veterinary hospitals seeking non-invasive treatment options for superficial tumors in animals. This diversification underscores the versatility of our platform, a topic we've touched on repeatedly throughout the year, and it fuels our optimism for finding additional niche markets in the future. Lastly, we are making meaningful progress with our product innovation pipeline, after refining our approach in collaboration with regulatory consultants. We are preparing to resubmit our TBI-510K application in the first half of 2025 We believe that the enhancements we've made in response to SBA feedback, along with our track record of successful clearances, put us in a stronger position for a successful submission and advances our goal of diversifying the Sensus Healthcare product line and further solidify our footprint in the dermatology market. With that overview, I'd like to turn the call over to Javier Rampolla, who will provide more details on our financial performance. Javier?
Javier Rampolla : Thanks Michael and good afternoon everyone. As Joe mentioned, our revenues for the fourth quarter total 13.1 million, up from 12.6 million a year ago, driven by an increase in the number of SRT units sold, gross profit came in at 7.1 million, or 54.4% of revenues, down from 7.8 million or 62.3% of revenues in the prior year quarter. Most of that decline was due to a one time discount to a new large group customer and higher service cost. On operating expenses, general and administrative expenses, increased to 2.4 million compared with 0.9 million last year, mainly because of higher compensation and professional fees. Selling and marketing expenses were 1.4 million in the quarter, up from 0.6 million last year, mostly reflecting higher commissions. This was offset by lower marketing and threshold spending. Regional development expenses rose to 1.6 million from 0.7 million a year ago, driven by a higher compensation and ongoing product development cost. Other income, which is largely interest income, was 0.2 million both this quarter and the same quarter last year. Net income for Q4 2024 was 1.5 million or $0.09 per diluted share, compared with 4.2 million or $0.26 cents per diluted share a year ago. Adjusted EBITDA, which excludes interest, taxes, depreciation, amortization and stock compensation expense, was 1.9 million compared with 5.7 million in the fourth quarter of 2023. The difference between the two quarters is attributable to higher net income and income tax expense in the 2023 period. For the full year, revenues came in at 41.8 million, a sizeable 71% increase from 24.4 million in 2023, that reflects a higher number of SRT units sold, partly because some customers defer purchases in 2023 given the macro environment, and also because sales to a large customer in 2024. Gross profit for 2024 rose to 24.4 million or 58.6% of revenue, up from 14.1 million or 57.8% of revenue in 2023. Looking at operating expenses for the year, general and an administrative expenses increased to 7.1 million from 5.2 million, which is partly due to higher compensation, professional fees and some bad debt expense, balanced by a reduction in bank fees and insurance costs. Selling and marketing expenses decreased to 5 million from 5.6 million, mainly due to lower agency fees, travel and payroll, regional development expenses were 4.2 million, up from 3.7 million a year ago, driven mostly by compensation and product development, although we have a decrease in expenses tied to a drug delivery project. Other income, net, which again is primarily interest income was 0.9 million in 2024 versus 1 million in 2023. As a result of all these factors, we reported a net income for 2024 of 6.6 million or $0.41 cents per dollar share, compared with a net income of $0.5 million or $0.03 per diluted dollar share for 2023. Adjusted EBITDA was 8.7 million in 2024 compared with 0.3 million in 2023 which represents a very strong improvement on that metric. Moving to our balance sheet, we ended 2024 with 22.1 million in cash and cash equivalents compared with 23.1 million at the end of 2023 and we had no outstanding borrowings under our revolving credit line at either year end. Inventories totaled 10.1 million as of December, 31 down from 11.9 million a year ago and prepaid inventory were 3.3 million up slightly from 3 million. From a cash perspective, we continue to spend prudently and focus on investments that will drive our long term growth. Our balance sheet remains healthy, which positions us to pursue strategic opportunities as they arise, whether that's through partnership, expanded R&D or other initiatives we believe can accelerate our business in the coming quarters and years. Please see the table in the news release we issued earlier today for a reconciliation of GAAP to non-GAAP measures. As a final comment, as mentioned in this afternoon's earliest news release, the first and the third quarters are our seasonal success [ph] and three of this year's four largest medical conferences are in the first quarter. This event impacts sales, as [indiscernible] customers and their staff are out of the office, and also the impact expenses as we leverage these important opportunities. Regarding sales, we expect the first quarter 2025 sales could be considerably lower than first quarter of 2024 sales, with full year sales growth in 2025 versus 2024 I also like to point out that the first quarter of 2024 is a top sales comp of various factors to a particularly strong quarter. With that, I'll turn the call back to Joe.
Joe Sardano : Thanks Javier and Michael for those updates. We remain particularly encouraged by the opportunities to deepen ties with large medical practices these organizations value comprehensive, cost effective solutions that enhance patient care without requiring significant upfront capital, which is exactly what our fair deal agreement model delivers. At the same time, we are broadening our international footprint, exploring specialized markets like veterinary medicine and delivering SRT in new ways, each of which holds promise for further diversification. We look forward to engaging with more clinicians and healthcare leaders at the important AAB Annual Meeting in March, where we plan to highlight clinical outcomes shared best practices for implementing SRT in high volume settings, and discuss how flexible our financial models can empower more practices to adapt non-invasive therapies. I'd like to conclude by reiterating how proud we are of the progress we've made over the course of 2024 as both Sensus and our customers adapted to the macroeconomic environment. The highlights we've shared today, including a record number of units shipped, ongoing profitability, new FDA agreements, added veterinary applications and steps towards the TDI resubmission, all underscore our momentum and set the stage for what we anticipate to be another productive and rewarding year ahead. We have concluded a great Q4 in 2024. We continue to direct many potential customers from an outright sale to the fair deal agreement, which will, as we have said repeatedly, provide significant revenue in the second half of 2025. We will continue this trend throughout the first half of this year. Our largest customer continues to grow as they provided us with the PO for 50 units of which 25 were delivered in Q4 with the next 25 slated for delivery in 2025. We expect this trend to continue as we work together in bringing our market the very best non-invasive technology, or IG-SRT for non-melanoma skin cancer. While we aren't providing formal financial guidance for 2025 at this time, we remain optimistic about our growth trajectory. We anticipate continued momentum from both direct system sales and our fair deal agreement pipeline. Our objective remains to drive sustainable, profitable growth while bringing beneficial technology to patients in need of effective treatment alternatives. As we look ahead, we believe we have the right team, the right strategy and the right products to achieve these goals. We appreciate your continued support and look forward to reporting on our progress throughout 2025 Thank you for joining us today, and now we'd be happy to take your questions. Operator?
Operator: [Operator Instructions]. And our first question comes from Jeremy Pearlman with Maxim Group. Please go ahead.
Jeremy Pearlman: Congrats on a great quarter and a great year. There's a couple questions from our team, yeah. So just a couple questions from our team. Firstly, on the I don't know, did you give a provide a breakout? I didn't see it in the press release of the number of units that were shipped in the fourth quarter. How many of those were part of the fair deal agreement or and then, just to, you know, piggyback off that, looking at 2025 and as you're dealing with new customers, what percentage do you think are more inclined to sign up for the fair deal agreement, as opposed to some of your traditional sales or the lease program that you had, and is there a, is there one of one track that you as a company prefer? You know, I guess maybe whether, just, yeah, sorry, I know there's just three questions.
Joe Sardano : That's all right, good, good questions. What I'm going to do is I'll ask Javier to go over the -- and reflect upon the different products that were sold to who and when, and then I'll provide a comment afterwards, but they're good questions. Thanks.
Javier Rampolla : All right, so, Jeremy, the number of units shipped in Q4 was 39 none of that, it's a fair deal agreement. We don't include that count in the 39 that we ship into Q4, yeah, so that's the, that's the answer there.
Jeremy Pearlman: Okay. Great, thanks.
Joe Sardano: The comment that I have, Jeremy, is that a delicate transfer of opinion in a lot of cases, we have a lot of customers and prospects that are deciding between purchasing and/or the fair deal agreement. And as we direct customers towards the fair deal agreement, if you look at the number of units that we applied to the fair deal agreement versus the sale, if we didn't have the fair deal agreement, our revenues would probably be a lot higher. But for the sake of driving the fair deal agreement for the long term benefits of the company, we're gaining a lot of access to these contracts and putting in a lot of installations because of the fair deal agreement. Michael, do you have a comment?
Michael Sardano : Yes, I was just going to say, I just want to make sure we clarify here. Of the 39 -- Javier is absolutely correct that we did not account for these FDA so the fair deal agreements in that number, it's not to say that we did not ship out any fair deal agreements. However, we're getting away from that number, as you may have heard me say in my statement, it's not about how many contracts signed on in the fair deal agreement, it's about how many patients are actually put through in a live setting once those operations tick up. So we wanted to get away from setting expectations with just how many visions went out for under the fair deal agreement, because that's actually not a good way to track revenue. Does that make sense? Jeremy.
Jeremy Pearlman: Yeah, no. 100% I understand. Yes. It just actually segueing from that. Another one of my questions was, you know, as you move into 2025, I know you mentioned towards the back half of the year the fair deal agreement placements are going to start contributing to the top line. Is there, from your perspective, from the company perspective, the metrics you hope to that like that to the average utilization of the placements. Are you going to be? How are you going to be monitoring that? And at what point do you say? Let's say an underperforming unit would have to get either pulled back into the company and then supported or moved to another clinic?
Joe Sardano: Yes. Well, let me answer that, because that is a very good question. First of all, I can tell you that the customers that were installing these first units, or these first bunch of units, are customers that are looking at the same types of volumes that we want to have, and that's high volumes, so we're targeting all of the higher volume installations first so that we can gain, you know, hit the ground running here. So we're expecting a good start to this. I think everybody wants to, wants to be able to make money with this. So they're looking for those volumes to continue to grow each and every month. The initial installations that we have, we're showing increased revenues from each and every month, and once we have a significant amount or numbers that are significant, significant enough that we'll be able to demonstrate and show you what those revenues are, which will be accumulated and put together for the second half of the year. We just don't have enough sample right now that's going to give us enough revenue that's going to be significant. But we feel as these installations grow and the volumes continue to grow each and every month, I think we're going to have significant revenue growth for the second half of the year, which everybody will understand,
Operator: Our next question comes from Arsalan Cameron with Roth Capital Partners. Please go ahead.
Arsalan Cameron: Hi. My name is Arsalan. I'm on for Jason Wittes from Roth Capital Partners. I had a couple of questions before that. Congrats on the quarter. My questions are, are there any new competitors emerging the space? Have any competitors dropped out? As well as, how quickly do you anticipate new FDA sites to be able to get up and running, and how long to reach full capacity, and what is the average expected full capacity? And my last question is, for these larger centers, can you provide some color on what customers are more likely to go with the FDA versus purchase?
Michael Sardano: Yes, sure. So as far as your first question again, I apologize it was cutting in and out.
Arsalan Cameron: Sure, are there any new competitors emerging into the space and competitors dropping out?
Michael Sardano: Got it. So, no, it's the same competitors that have always been in and really the main competitor in the dermatology market has always been really most surgery, that's the alternative. Again, with 6 million new skin cancers a year in the United States, which is four times larger than all other cancers combined. Unfortunately, there's enough cancer to go around. So when you talk about competitors, SRT is a very, very unique way of treatment, and it's in dermatology, and it's here to stay. So there's not much competitive nature there. I know competitors have dropped out either, if that's your question, and then you touched on fair deal agreement large groups. I think that the like we've been saying, the private equity backed roll up groups. This program that we have the fair deal agreements, is really geared for them. It allows these large roll ups to utilize their cash in buying more practices, and that's what their goal is. That's what the private equity backed roll ups goal is to get more practices under their entire geography and expand that way. So this it targets them, and we're always in discussions with that, and we're really excited about 2025 in getting more interest from those types of groups. Joe, do you want anything to add?
Joe Sardano: You know, regarding the interest in the installations, again, each center, each group, is evaluating where they would put these placements, because they want to maximize the revenues as well. So based on the analytics that we're able to provide them, along with the analytics that they have for themselves and for each one of their sites, we're able to calculate where the best place is to start, and we've already begun that process in installing some of these sites based on that those analytics. So again, I think that the volumes are going to take care of themselves, and I think it's going to provide significant revenue again for our second half of the year.
Arsalan Cameron: Thank you for that. Just a follow up, what percent of sales came from your largest customer? And do you anticipate them continuing to purchase in 2025 and would it be at a similar pace?
Joe Sardano: Let me answer just real quick, we had 39 units delivered, 25 came from our largest customer. They continue to buy. We expect them to continue to buy throughout the year, and so we look forward to again, another successful year. [Operator Instructions]. Our next question comes from Ben Hayner with Lake Street Capital Markets. Please go ahead.
Ben Haynor : First off, for me, I was wondering on the interest level that you've seen from these private equity groups, or largest, large, you know, kind of customers? Can you provide a little bit more color on how advanced some of these discussions have gotten? You know, anything that might help investors gage on how many clinics to kind of pencil in for the future?
Joe Sardano: Yes, let me, let me give you an overview. Ben, and thanks for being on the call, and thanks for the question. There's between 12 and 15 major private equity back roll ups that are out there. They currently represent, or closing in on about 20% of the overall clinics that belong to dermatology, that's about 9000 clinics and those clinics keep growing every day. There's new clinics being opened up every day. And so if you're looking at 20% of that, that's 1800 clinics and so and the progression is looked at being over the next two to three years, growing to 25% of the overall number of clinics that exist out there. So you can see that the market is vast, it's large, it's long. And so we feel that the product that we have best suits their needs, and we think that it's going to accelerate during the course of 2025 we have several of these customers that are now considering the fair deal agreement, and so hopefully we'll be able to see some progress as the year continues to progress, and we'll be able to talk about gaining access to a lot of those private equity back groups and gaining access to the number of installations that they have. But as Michael previously mentioned, the most important thing here is, how many patients can we process? We want to try to focus on the patients that are being treated by SRT, within those customers, and we'll start focusing on that, because in the end, that's what produces the most money for both sides, and that's going to be what's most important.
Michael Sardano: Yes, and Ben just added on the edges to that answer. Joe's absolutely right. If you remember, in November, we announced that we already signed a large group, so that we do have a large group that's signed, and I can happily tell you that they've already start rolling some of the products out there. We're in plans to roll a few sites out. So that's exciting for all of us. In addition, we've given three or four major presentations to CEOs and medical advisory boards of other very large dermatology private equity backed roll up groups. So that's where we're at as far as progression. I think that with the fact that three out of our four largest shows in dermatology happen to be in Q1 it really, really is, and could be a slingshot approach, like we typically see with our sales, from a history standpoint, our capital sales, I think the FDA has -- I run sales, so I'm looking at it, and it's been an easier sales process when convincing physicians and private equity backed groups to sign on to the fair deal agreement.
Ben Haynor: Okay, that's exactly what I was looking for. And very helpful. You know, you mentioned, the number of agreements signed is not the right metric. Do you plan on in the future, giving sort of a patient's treated metric, or anything like that?
Joe Sardano: I think that's what we want to do, once we have significant numbers, to be able to show the progress of it. I think that's very, very important. I think we'll get there.
Ben Haynor: Okay, got it. And then, you know, you mentioned how the ones that you have gotten out there that the volumes have ramped month over month over month. Do you have a sense yet of kind of where those level out at, or do they continue to ramp? And I would imagine that if folks are ready to treat patients in high volume, they already believe that SRT is the solution for these patients. But is there kind of a waiting around, like let's do X number of patients and see how they do and then do another X, or that kind of?
Joe Sardano: Yeah, I think it's a proven technology. They know. They know that it works. I think the biggest factor is the analysis and the time it takes to work together with these organizations and keep in mind, they're big organizations. They don't want to make any mistake. So the evaluation of the data and the analytics allows for us to really target the right centers to kick things off so that everything is productive and cost effective as well as profitable right off the bat. Nobody wants to make a mistake, especially them. They're very, very good at what they do. They're very well managed organizations, and so we're very appreciative of the process that they've implemented. Now, is it as fast as we want it to go? No, it's never as fast. We want things installed yesterday, but I'd rather have the right units installed at the beginning, so that we don't have to think about replacing anything, and I think that's the way we're going. I think we're going to have a real good receptivity for the sites that they're going into. So we're going to have real good success, right off the bat.
Michael Sardano: Yes, and two things just to add, if I may, Joe, I want to remind everyone about our inventory. We have well over 50 paid for units ready to go as far as visions, just including visions. So that gives us a leg up from a fair deal agreement standpoint, we can, you know, immediately, get those units out there, and then, just to remind everyone, as far as the process, we've been doing this 15 years, the capital equipment side of things, it's the same process in setting up the site, from training to state regulatory it takes up to about eight weeks from the time they sign to the time that unit is installed and trained and everyone's ready to go. And then, in addition to that, now that we're receiving 50% of all of the revenues from the sites, right? From insurance standpoint, it takes another 45 to 60 days from first patient treatment to collect the money. So that's true. I want to set the expectation that's where you're going to start seeing the revenues from go live on the first day of patient treating to collection. It's 45 to 60 days, and that's very normal in the industry from an insurance standpoint.
Ben Haynor: So build in three months once, once it's signed effectively, to see--
Michael Sardano: 3 to 4 months, yes exactly. And so that's the delay in seeing some of the revenues.
Ben Haynor: Okay, that's perfect. And then lastly, for me, can't leave Javier out of this. Can you quantify how much the step up in kind of professional fees and compensation impacting G&A was more one time-ish in nature? Or is this kind of a new higher level run rate?
Javier Rampolla: No on the professional fees. It's a one time, you know, different projects that we were doing during the Q4 on the compensation. It was also a one-time adjustment and I expect G&A to increase a little bit in 2025 but not as much as we saw in Q4.
Operator: There are no further questions. This concludes our question and answer session. I would like to turn the conference back over to Joe Sardano for any closing remarks.
Joe Sardano: Well, great listen. Thank everyone for joining us today. Again we're very proud of the performance that we've had for the last quarter and for the entire year 2024. We look forward to updating you on our progress in the coming quarters. And if you have any additional questions, don't hesitate to reach out to our Investor Relations Team, headed up by Tirth at Alliance Partners, and so thank you again for joining us today and for continued support of Sensus Healthcare. Operator?
Operator: Thank you The conference is now concluded. Thank you for attending today's presentation. You may now disconnect you.